Operator: Thank you for standing by for Fanhua's Fourth Quarter and Fiscal Year 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. All lines have been placed on mute to prevent background noise. [Operator Instructions] For your information, this conference call is now being broadcasted live over the Internet. Webcast replay will be available within 3 hours after the conference is finished. Please visit Fanhua's IR website at ir.fanhgroup.com under the Events and Webcast section. Today's conference is being recorded. If you have any objections, you may disconnect at this time. I'd now like to turn the meeting over to your host for today's conference, Ms. Oasis Qiu, Fanhua's Investor Relations Manager.
Oasis Qiu: Thank you, Andrew. Good morning and good evening, everyone. Welcome to Fanhua's fourth quarter and fiscal 2023 earnings call. A replay will be available on our IR website after today's call. Please note that the discussion today will contain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. These statements are made based on management's current expectations and beliefs concerning future events impacting the Company and therefore, may be impacted by a number of business risks and uncertainties that could cause our actual results to differ materially from those projected or anticipated. Such risks and uncertainties include, but not limited to those outlined in our filings with the SEC, including our registration statement on Form 20-F. We do not undertake any obligation to update its forward-looking information, except as required under applicable law. Joining us today are our Vice Chairman and Chief Executive Officer, Mr. Yinan Hu; Chief Financial Officer Mr. Peng Ge; Chief Strategy Officer, Mr. Ben Lin; and Chief Operating Officer Mr. Liu Lichong. Mr. Hu will start the call by sharing his view on recent market trends and our strategy development, followed by Mr. Ben Lin, who will provide a review of financial and operational highlights and discuss our business outlook going forward. There will be a Q&A session after the prepared remarks. Please note that you can find our presentation material relevant to this call from our official website. With that, I will turn the call over to Mr. Hu. You may begin.
Yinan Hu: Good morning and good evening. Thank you for joining us on our fourth quarter and full year 2023 earnings call. Reflecting on the past year, 2023 proved to be a year of challenges and transformations for the entire life insurance industry in China. To perform changes in regulatory policies, particularly the downward adjustment of the pricing rate, and implementation of Filing and Actual Fee Consistency requirement in the bancassurance channel presented unprecedented test for the industry. Fanhua was no exception. However, it was precisely within this challenging landscape [ph] that we showcase resilience and achieved stable growth. In the full year of 2023, we achieved a total insurance premiums of RMB16.4 billion representing a 28.7% year-on-year growth, continues to outpace the overall industry growth. First year premiums reached RMB3.8 billion marking a 30.3% year-on-year growth. Leveraging the efficiency gains from digitalization and robust cost control measures, we realized an operating income of RMB195.8 million, up 16.1% year-on-year. Net income attributable to shareholders reached RMB280.4 million, reflecting a growth of 179.7% year-on-year. This solid performance demonstrates the successful execution of our strategy. Over the past year, we have continually strengthened our strategy of driving growth through Professionalization, Specialization, Digitalization and Open Platform, using a series of pivotal achievements. For instance, we have consistently bolster our pool of top tier agents, enhancing their professional capabilities with the contribution from top performing agents and increased productivity of our sales team at all levels, serving as a pivotal driver ,,,. Our digital platforms have continued to deliver efficiency gains, empowering our insurance advisors, while also providing our customers with superior service experiences. The diversified service ecosystem that we have built has established a solid foundation for our company's differentiation and long-term development. Furthermore, our open platform and M&A model have also emerged as key drivers of our company's growth. The forthcoming [indiscernible] consistency requirement and the commission cap, although may inevitably posed significant challenges to the industry will also present enormous opportunities. We believe that amidst this phase of deregulatory from accelerating industry transformation, scale driven leading payers, companies able to offer diversified services, and digitally intelligent platform companies will find themselves in a more advantageous position. Leveraging our strategic achievements in specialization, digitalization, and open platforms and service oriented initiatives over the past 2 years, we are confident that Fanhua will emerge as the biggest beneficiary. Meanwhile, our Internationalization strategy is steadily advancing. Hong Kong, serving as the cornerstone of our international expansion efforts, has seen the official launch of two subsidiaries with Asia insurance for business operation, providing a solid foundation for our global business layout. Recently we signed a strategic framework agreement with Singapore White Group, marking a significant milestone in our development journey. The potential collaboration represent a strategic upgrade towards artificial intelligence development and internationalization. [Indiscernible] such as mergers and acquisitions, we will invest in high-quality overseas assets, deepening our presence in family services, including insurance, wealth management, education, health care and family governance. This move aims to achieve horizontal and vertical integration, allowing us to offer comprehensive and efficient family asset allocation services to clients. Moreover, it will accelerate our expansion in international markets, paving the way for border development opportunities and propelling the company to greater heights. Looking ahead, we firmly believe that the industry will gradually move towards consolidation, forming an [indiscernible] geopolitical landscape dominated by a few major players, the services and technology driving the way forward. We are poised to emerge as the one of the biggest beneficiary of this transformation. Embracing the insurance processes plus technology model, we will provide comprehensive products and diversify services to our customers, while leveraging technology to enhance service efficiency. Our focus will be on serving the high net worth customers and MDRT which are also our core assets. The year 2024 will be pivotal for our development. We will further expand our scale to industry leading technology platforms, comprehensive service capabilities, and strong capital to acquire high-quality assets. We believe that in the journey ahead, we will continue to maintain our leading position, create more value for our customers and achieve the long-term development goals of the company. Now I would like to invite Mr. Ben Lin, our Chief Strategy Officer to discuss our business highlights in the fourth quarter and 2023.
Ben Lin: Thank you, Mr. Hu, and thank you, Oasis. Let me just walk you through our results for 2023. Some of the numbers that I'm going to quote, you can find them in our results release as well as our online presentation. Impacted by two significant regulatory policy changes in 2023, specifically, the pricing rate change and commission cap at the bancassurance channel, the life insurance industry in China witnessed a roller coaster ride in terms of premium growth. Starting with single-digit growth in the first quarter, it saw two double-digit growth in the second quarter due to the pull forward demand prior to the pricing rate adjustment. What we saw was then a reversion to single-digit growth in the third quarter, and ultimately negative growth in the fourth quarter. Overall, we saw a 10% year-on-year increase for the entire year of 2023 at the industry level. Amidst the [indiscernible] pressures of sluggish performance on both the liability and investment side, major insurers are expected to experience significant decline in profitability, as indicated by the 15% negative growth and average profit of the listed companies in the first 9 months of 2023. Against this backdrop, Fanhua continues to outperform the industry with stellar performance. In 2023, we achieved RMB16.1 billion in total life insurance premium, which is a 30% increase year-on-year and net income to shareholders reached RMB280 million. up almost 180% year-on-year. Overall, we're very pleased with our financial results, given the backdrop of a challenging macro and insurance industry environment in 2023. More importantly, we are particularly proud of the strategic executions we have carried out to achieve these results. Throughout 2023, we successfully executed each strategic initiative as we had planned. We firmly believe that these strategic achievements will set us on a higher quality and sustainable growth path. I would like to highlight four key strategic achievements that we saw in 2023. Firstly, our strategic focus on improving our agent quality and productivity produced significant results and is the major driver of our success in 2023. Our MDRT and 100k Premium agents have emerged as major contributors to our growth. These agents saw productivity increasing by 15% and 10%, respectively. And they accounted for 65% of our total first year premium, up by 9 percentage points from 2022. These achievements, help offset this significant decline in overall agent number, a metric that we're no longer focused on and it's also a industry wide trend. Secondly, we saw significant achievements in our digital technology empowerment. Based on the digital infrastructure build on big data intelligent algorithm, Fanhua has built an industry leading digital empowerment system covering five major systems including operational support and management empowerment, professional growth and IP promotion system, customer management system, customer service system, and transaction support system. Among the many important tools in our digital system, in 2023, Fanhua focus on strengthening digital marketing empowerment for functions such as digital avatar, intelligent recommendation systems, insurance AI systems, and intelligent customer marketing. It helps our salespeople achieve intelligent management across these areas. The cost reduction and efficiency improvement bought by the digital empowerment that we have built, our efficiency increased significantly over 2023. If you look at our operating expense ratio, it decreased from 29.4% to 25.7%. Agents who frequently use our system have productivity that is 1.6x higher than those who did not use the system. Thirdly, our open platform strategy accounted for over 30% of our total new business. By the end of 2023, we have signed contracts with 854 channels, and an increase of 63 from the last quarter of 2020 -- the third quarter of 2023. These partnerships contributed to a total first year premium of over 1.1 billion accounting for over 32% of our total new business. They are also insurance companies, human resource consultancy agencies and numerous other two B channels, expressing their interest in further collaboration with us to use an open platform system and digital tools to sell life insurance in their main business. Fourthly, our service oriented ecosystem continues to take shape with evident results. We have developed a robust ecosystem beyond just life insurance. Covering trust service, family office, health care and wellness, overseas as allocation, education, tax consulting, family affairs, processing et cetera, providing customers with a rich experience scenarios and substantial support to our sales agents in insurance marketing. During 2023, we held 250 -- 256 family office consultants training sessions and salons, certifying more than 1,200 family office advisors who have since served a total of 500 families in assisting them to set up a total of 450 trusts with total asset value exceeding RMB5.6 billion and facilitating approximately RMB100 million inversely a premium. By the end of 2023, more than 20,000 FRP or Fanhua Retirement Planner have been trained and certified. During 2023, nearly 300 visits to our continuing care retirement community were organized helping nearly 1,000 customers locking rates for long-term stays in these retirement communities. And more than 4,000 customers obtain rates for these retirement communities across the nation, helping to achieve over RMB600 million in first year premium. At the end of 2023, Fanhua has trained and certified more than 20,000 policy trusteeship experts serving more than 130,000 policy trustee families with 630,000 policies under trusteeship generating trust sale and upper sales to 30,000 customers facilitating about 550 million in first year premium. Lastly, we have made significant progress in our global expansion strategy. Since the establishment of our two joint ventures with Asia Insurance in Hong Kong, in October, the insurance brokerage company has completed the formation of its core business team and signed contracts with about 10 major insurance companies in Hong Kong, ensuring the ability to meet diverse customer needs. Operations officially commenced in early February for our insurance broker business. On the technology side, we're actively engaging with a number of insurers. And we're confident that our technology business will have its own milestones in 2024. Looking ahead for 2024, the insurance industry has stepped especially the independent intermediary channel will face a series of challenges and opportunities. Due to the significant uncertainties surrounding the specific timing, and extent of the implementation of the requirement for consistency in reported and actual fees in the independent intermediary channel, we are unable to make precise predictions regarding our annual performance targets. However, what can be anticipated is that whilst the regulatory change may lead to short-term [indiscernible] will also bring important opportunities for the development of our open platform. Our strategic focus in 2024 will include, number one, continue to build a professional and specialized sales team. We aim to increase our market share by growing the number of high-quality agents, particularly MDRTs, taking advantage of the market consolidation opportunity that is likely to arise as a result of the commission cap to be implemented. Number two, enhance our capabilities to serve high net worth individual clients. We will continue to view our service ecosystem, supplementing our offerings in financial services through education, elderly care and overseas struggle. Number three, bringing high-quality assets while going global, accelerating our internationalization and digitalization process. We have been invited by a number of insurers to set up operations in Macau and Singapore. And lastly, we will pursue M&A opportunities to achieve horizontal and vertical integration. Given our strong financial position with over RMB1.4 billion in net cash, and the backing of our potential strategic shareholder, Singapore's White Group, we're probably the most well resourced intermediary in the region with the capacity and capability to undertake attractive and accretive M&A opportunities both inside and outside of Mainland China. This concludes my presentation, and I'll hand the session back to Oasis. Thank you.
Oasis Qiu: Thank you. Now the floor opens for Q&A session. Andrew?
Operator: [Operator Instructions] And our first question comes from the line of Yuyu Zhang with CICC. Your line is open.
Yuyu Zhang: So my first question is about [indiscernible] made a lot of discussions before [indiscernible] be a little bit more precise on this? Beyond your observation, to what extend made a commission revenue [indiscernible] if you're adding numbers you can share with us. My second question is for the overseas business. Could you share some more details on what you've done in 2023 and [indiscernible] 2024 and about my group, how can someone cooperate with you to achieve more market share in Asia? Thank you very much.
Oasis Qiu: Mr. Hu would like to invite our Chief Operating Officer Mr. Liu to take your first question. And the second question actually consists of two parts. So first of all, regarding our national initiative, especially the business in Hong Kong, that this part will be answered by Mr. Ben Lin, our Chief Strategy Officer and the last regarding our potential collaboration with White Group, Mr. Hu, he will answer the question.
Liu Lichong: So, the requirements for the reported and fire fee consistency in the independent brokers channel is up and coming. Although the regulatory body has not yet given specific timing as to when they will be implemented, but the rumors in the industry is that it will probably be implemented in April. And as for the extent of the commission cap, there is also no specific guidance from the regulatory body yet, but -- and the consensus among a lot of insurance companies that probably the commission rates for the same type of products, the commission rate will probably be down by 30% to 40%. While it's for certain that the business for insurance, independent insurance brokers will be severely impacted, but why now, the insurance companies will have a different product strategy to adapt to this market change, diverting their focus from the whole life insurance product to participating insurance products to make up some of the loss on the commission income for independent brokers. The requirements for commission cap and the reported five be consistency. It's inevitable trend, given the continued decline in interest rates. However, NA will probably bring a short-term path to industry as well for Fanhua, but we are fully prepared for this new changes. And we have also been expanding our platform models. We believe that this regulatory change will result in more small and medium sized insurance intermediate companies to [indiscernible] elaborate, with Fanhua in terms of platform business. And it will help us to continue to drive out market share. Thank you.
Ben Lin: Okay. I'll answer the first part of the second question with regard to progress in the Hong Kong market. So we established the two joint ventures with our partner Asia insurance back in late October. So it's been about 5 months. And I'm very pleased to say that we have made very, very significant progress with our two joint ventures. Firstly, in terms of our team setup and office, so we now basically have two offices in Hong Kong. One is our brokerage business and the other one is our technology business. In our brokerage business, we have now built a team of 13 members there, basically, in the administration, in the technical representative areas to facilitate contract signing. In the period of November to January together with the management team from Asia insurance, we met with all the major life insurance in Hong Kong to start the process of contract signing. So far, we have signed contract with 10 insurers. And over the last few weeks, we have received the commission schedule forms, some of the insurers. So very, very pleased to say that we can officially commence business from this week. In terms of where we differentiate in Hong Kong and why we are confident that we can be successful. In our first market of Hong Kong, I think it comes down to really two things. Firstly, we're the only broker in Hong Kong, in the region that's backed by two listed companies with abundant resources. And this provides us with abundant opportunity and capability to offer comprehensive services to our customers. Secondly is on the technology front. As you know, I've highlighted in the past, the broker technology segment in Asia remains very, very underdeveloped. Even in mature markets like Hong Kong, a lot of the contract signing is still very paper based compared to 100% digital or paperless in China. So we're the only broker with more than 200 in house IT support staff that can basically transfer a lot of the know how that were built in the Chinese market to Hong Kong. In the discussions that we had with all the life insurers from the period of November to January, the focus was really on two topics. The first one is obviously contract signing. But more importantly, the second one is really on IT integration. And I'm very pleased to say that all insurers expressed a strong interest not only to work with us, in terms of doing the business of up selling, but they're also very interested in our digital capability and how we can work together to improve the sales technology in the Hong Kong market. And what's interesting is, we're not only trying to work with these insurers to develop technology that would help them to work with brokers. But more importantly, we're now also convincing them that, maybe they could also outsource their in house sales technology to Fanhua, because the reality is we have spent an enormous amount of resources over the last 4, 5 years in ourselves, in our sales technology capability. And a lot of these know how, I think is probably 10 years ahead of the Hong Kong market, even compared to insurance. So we're very, very confident that our technology capability and differentiation is going to be one of our strong, competitive advantages in the Hong Kong market. And although we just commenced our Hong Kong business, we're already invited by a number of insurers to basically start operations in Macau, and also in Singapore, because in these markets, there is also a lack of presence in terms of a major broker, that has strong shareholder backing, as well as technology capability. So, one step at a time, I wouldn't be too surprised that in 2024, we will expand beyond Hong Kong. So the second question, the second part of the second question, Mr. Hu will talk about our progress with Singapore's White Group.
Yinan Hu: So, first and foremost, what we want to reiterate is that our collaboration will not change the positioning of Fanhua and our strategic direction. Last year, we basically issued our new mission statement for the company. And we made it very clear that our objective going forward is to become the regional service provider for family services, broadening our capability beyond insurance, but into education, retirement, et cetera. So we're advocating is insurance -- a insurance plus model beyond Mainland China. And we think the business [indiscernible] opportunity to have a visit at White Group is very, very timely for us. So the synergy that can bring about what our cooperation White Group is really based on to upgrade in terms of our capability. The first one is that the White -- Singapore's White Group have much better capability in terms of capital raising, particularly in the international market compared to Fanhua. Secondly, is that their track record and capability in mergers and acquisitions is also very evident. Given the history and success, we think these two capabilities serves as important upgrades for Fanhua as we pursue our strategy of going global through organic and inorganic strategies. M&A will be a core part of our strategy, because we think that the opportunity for consolidation in the market not only in China, but across the region is very, very significant. And really we'll focus on two areas. Number one is all our mergers and acquisitions will focus on bringing capabilities to improve, or help us execute on our strategy of developing a professional sales team across the region. And then secondly, is helping us to broaden our services to high net worth clients. So without a doubt, the biggest change to our industry from 2024 onwards, is the commission cap. And we think, if we look at the regulatory purpose of the commission cap is really to drive higher quality growth. Now how do you achieve that? We think, at the end it comes down to upgrading your capability, that can be very, very important. So, we think the commission cap is the right thing for the industry, we fully embrace it. And our strategy is on basically putting the resources on improving our capability, so that in this environment we will become the biggest beneficiary. Thank you.
Operator: I'm showing no further questions at this time. So with that, I hand the call back over to Oasis Qiu for any closing remarks.
Oasis Qiu: Thank you for joining us on today's conference call. If you have any further questions, please feel free to contact us. Thank you.
Operator: Thank you for participating. This concludes today's program, and you may now disconnect.